Operator: Good day, everyone, and welcome to the PJT Partners First Quarter 2025 Earnings Conference Call. Just a reminder, today's conference is being recorded. And at this time, I would like to turn the conference over to Ms. Sharon Pearson, Head of Investor Relations. Please go ahead, ma'am.
Sharon Pearson : Thank you very much, Bo. Good morning and welcome to the PJT Partners first quarter 2025 earnings call. I'm Sharon Pearson, Head of Investor Relations at PJT Partners. Joining me today is Paul Taubman, our Chairman and Chief Executive Officer; and Helen Meates, our Chief Financial Officer. Before I turn the call over to Paul, I want to point out that during the course of this conference call, we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties, and there are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that these factors are described in the Risk Factors section contained in PJT Partners' 2024 Form 10-K, which is available on our website at pjtpartners.com. I want to remind you that the company assumes no duty to update any forward-looking statements and that the presentation we make today contains non-GAAP financial measures, which we believe are meaningful in evaluating the company's performance. For detailed disclosures on these non-GAAP metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued this morning. Also available on our website. And with that, I'll turn the call over to Paul.
Paul Taubman: Thank you, Sharon, and thank all of you for joining us this morning. Earlier today, we reported first quarter revenues of $325 million, adjusted pre-tax income of $56 million and adjusted EPS of a $1.05. These first quarter results reflect record Q1 adjusted net income and record Q1 adjusted EPS and revenues nearly equal to last year's record Q1 levels. The current environment poses significant risks to the US and global economies as reflected in volatile capital markets, subdued M&A activity, fragile business confidence and delayed investments. How long these uncertainties persist, the economic consequences of these uncertainties and the degree to which global trading relationships will be reshaped all weigh heavily on market sentiment. Our firm is uniquely positioned for these uncertain times, given our strength of franchise and broad mix of businesses. While the operating environment has shifted dramatically since the start of the year, our full-year outlook has not. After Helen takes you through our financial results, I will review our business performance and outlook in greater detail. Helen.
Helen Meates: Thank you, Paul. Good morning. Beginning with revenue, total revenues for the first quarter were $325 million, 1% below the same period last year, revenues increased modestly in strategic advisory compared to a year ago, while revenues and restructuring and PJT Park Hill decreased modestly year over year. Turning to expenses consistent with prior quarters, we presented the expenses with certain non-GAAP adjustments, which are more fully described than our 8-K. First adjusted compensation expense. We accrued compensation expense at 67.5% of revenues for the first quarter compared to 69.5% for the first quarter in 2024. This ratio of 67.5% represents our current best estimate for the full year 2025. Turning to adjusted non-compensation expense, total adjusted non-compensation expense was $49 million in the first quarter, up from $45 million in the first quarter last year, an increase of 9% year over year. The higher expense was primarily driven by increases in travel and related and occupancy costs, as well as continued investment in communications and information services. We continue to expect our full year 2025 non-comp expense to grow at around 12%. A similar growth rate to last year, with the highest contributions to growth coming from travel experience driven by increased business-related activity, occupancy costs, as well as continued investment in our technology and data infrastructure. Turning to adjusted pre-tax income, we reported adjusted pre-tax income of $56 million in the first quarter compared with $55 million for the same period last year. And our adjusted pre-tax margin was 17.3% for the first quarter, compared with 16.8% for the same period a year ago. The provision for taxes, as with prior years, we've presented our results, as if all partnership units had been converted to shares and that all of our income was taxed at a corporate tax rate. Our effective tax rate for the first quarter was 16.5%, as we realized a significant tax benefit from the delivery of vested shares. We take a full-year view of that benefit, and we currently expect our full year effective tax rate to be around 16.5%. Our adjusted converted earnings was a record for the first quarter of $1.5 per share compared with $0.98 per share in the first quarter last year. On the share count for the quarter, our weighted average share count was 44.46 million shares up 2% versus a year ago. During the quarter, we repurchased the equivalent of approximately 1.5 million shares, primarily through open market repurchases. We committed a record dollar amount to repurchases in the first quarter. We are in receipt of exchange notices for an additional 170,000 partnership units, and we intend to exchange these units for cash. On the balance sheet, we entered the quarter with $227 million in cash, cash equivalents and short-term investments, and $438 million in networking capital, and we have no funded debt outstanding. Finally, the board has approved the dividend of $0.25 per share. The dividend will be paid on June 18th, 2025 to class a common shareholder of record as of June 4. I’ll now turn back to Paul.
Paul Taubman : Thank you, Helen. Beginning with restructuring, we're in a multi-year period of elevated activity levels for liability management. Our full year expectations continue to closely track last year's record-setting results, while our first quarter revenues were modestly below last year's very strong Q1 results. This outlook does not reflect the stresses and strains that have been building in the economy these past few weeks. If these pressures persist, there is the potential, but by no means the certainty, for a meaningful increase in restructuring and liability management activity above and beyond current levels. Turning to PJT Park Hill. First quarter PJT Park Hill revenues were modestly below last year's strong results. Subdued levels of IPO and M&A activity are clearly weighing on capital return in the alt space, while this lack of capital return continues to make primary fundraising challenging, it has in turn created an unprecedented demand for alternative liquidity options from GPs and LPs alike. Our private capital solutions business is seeing increased activity levels related to both LP stake sales and GP-led fund continuation vehicles. Turning to strategic advisory, notwithstanding all the post-election optimism for a significant resumption in global M&A activity. First quarter activity remained muted, while first quarter dollar value of global announced M&A increased modestly, the number of announced transactions declined by more than 15% versus year ago levels. Our strategic advisory revenues increased in Q1 and we expect full year 2025 strategic advisory revenues to be up strongly from 2024 levels. Given the cadence of anticipated closings for transactions previously announced but not yet completed, most of this revenue increase should be reflected in our second half results. Despite this turbulence, our mandate count continues to grow and now stands at all-time highs. However, if current macro uncertainties persist for an extended period, the benefit of this pipeline build may be considerably delayed. On the talent front, we added 10 partners in the first quarter. Most of this increase resulted from the promotion to partner of individuals who had been recruited to our firm as managing directors. We are on pace for another strong recruiting year with most of our senior hires expected to join in the back half of the year. Notwithstanding current market conditions, we remain committed to further investments in our strategic advisory franchise to best position us for future opportunities. As we look ahead the current geopolitical uncertainties have certainly weighed on business and roiled capital markets around the world. While our crystal ball for 2025 economic and market conditions has gotten markedly cloudier, we see clearly a full-year firm outlook that is substantially unchanged from before. We remain confident in our near intermediate and long-term growth prospects. And with that, we will now take your questions.
Operator: Thank you, Mr. Taubman. [Operator Instructions]. We'll go first this morning to Ryan Devin of JMP Securities.
Alex Jenkins: Hey Paul. Hey Helen. This is Alex Jenkins filling in for Devin. Hope you guys are doing well. Appreciate you taking my questions. Just to start on strategic advisory and partner productivity there, I would just love to get your thoughts on how you think about the order of magnitude to the upside for partner productivity that you think you could get to if we got back to what, like a more normal operating environment. Thank you.
Paul Taubman: Sure. Well, again, I think the first point is the, that in your question is the most important, which is you have to assume an environment. And if we're in a normalized environment, we think that there's meaningful increase in partner productivity. And we've talked about this repeatedly because partner productivity is the end result of a lot of elements working together. So, if you think about it, a lot of our investment continues where we have partially built networks. We have our first partner in a particular geography. We have our first or second partner in an industry vertical. And those are necessary but not sufficient for us to really show the power of our firm. But as more and more of those individual networks go from unbuilt or partially built to fully built, there should be a meaningful increase in the economic results from that investment. That's one element. I think another element is there's simply the network effect and the franchise value of the firm. And the more talented individuals who join this platform, the greater that network effect, the more walk-in business, the easier it is to sell through and our fee realizations go up. So, all of that works to increase partner productivity, but it’s not a formula and it is not a precise input output result. But if we continue to do the things that we're doing for any given economic environment that we're in, the productivity should be meaningfully higher than it is today.
Alex Jenkins: Okay, great. Thank you for that color. And then just a quick follow-up on the restructuring business. Obviously, I've touched on in your remarks there's a lot more economic uncertainty. Maybe you could speak to the growth algorithm for that business off what is already a really productive group. Will your bankers be more selective and just trying to understand how much capacity there might be from what already is a great level of production? Thank you.
Paul Taubman: Sure. Look, we're deeply committed to the business. We have the world's best liability management bankers in the world. We have the best franchise, and we continue to do everything to make sure that we support all of those initiatives. I think that there's this wonderful virtuous circle between the rest of the firm and the liability management initiatives, because the greater our coverage footprint, the greater the network effect, the better off we are as a firm and able to showcase our leading restructuring and liability management capabilities. So, I think there's that benefit as we continue to expand our geographic footprint, our access to sponsors and corporates alike, our geographic presence, all of those have significant knock-on effects for the rest of the firm. I think the second thing is that we have a lot of individuals who can help support the capabilities and the direction of our best-in-class liability management and restructuring team. But at the end of the day, we don't view ourselves as at all capacity-constrained. And I think our observation is continues to be, we're in a multi-year elevated cycle. It's elevated only when you look at the last 10 years. Because the last 10 years have been aberration low in terms of rates, default rates, financial stress in the system. And what has happened is we're now getting back to more quote-unquote normalized levels. And we're doing that with a far greater quantum of debt outstanding. So, when you have a return to more normalized levels in terms of rates, distress and default rates, and you're doing that across a much greater quantum of debt outstanding around the world, it's not much of a leap of faith to hone in on a point that you end up with much greater levels of activity. And that's what we're seeing. What is starting to build in the system is the stresses and strains of all of this uncertainty. The need to onshore to disrupt the existing supply chain that are in place, the implications for pricing power and the increased costs resulting from tariffs and how able individual companies and industries are to pass that on to end users. All of that uncertainty is reflected right now in strains in the high-yield marketplace. If you just look at credit spreads, they're up meaningfully from the beginning of the year, with about half of that increase since the 1st of April. So, we see those stresses building in the system. It is certainly possible that those stresses will subside and will come back to a more normalized economic environment in which case I think the environment that we're in is the environment, but if those stresses and strains continue to build, there is the potential, at least for a meaningful increase in activity levels from here.
Alex Jenkins: Great. Thank you. That's great color. I appreciate it.
Paul Taubman: Thank you.
Operator: Thank you. We'll go next now to James Yaro of Goldman Sachs.
James Yaro: Good morning, and thanks for taking my questions. I wanted to touch on the discussions that you're having with private equity today. To what extent are they slowing their previous plans to conduct M&A and IPOs this year and potentially beyond? And then as a corollary, what are your expectations for the growth of the secondaries business, perhaps for this year and 2026 as well?
Paul Taubman: Look, I think the, in the alternative space, sponsors continue to transact. There's not a cessation of activity, but there's a slowing of activity, and it starts with capital return. The reality is capital return is far more challenged today than what it should be, you know, in the normalized economic cycle. The IPO market is clearly challenged. There have been relatively few companies that have gone public. Most of those that have gone public have not traded particularly well. And then also, if you do take a company public and most of the proceeds are primary as opposed to secondary, you're still not getting capital return. You're simply positioning a portfolio company for future capital return. And with all of the volatility in the market, you run the risk that having recently listed one of your assets, it ends up trading meaningfully below where you have it marked. So, all of that has slowed the return of capital in the ecosystem, and that does hamper deployment of capital. At the same time, private equity, when they see quality assets that are available, are still bidding and bidding robustly. And if you look in the marketplace recently, you've seen high-quality assets where you have a line around the block from sponsors to acquire those assets. But those are fewer, and those are farther between than we would all like. So, activity continues, and an interesting way when we're dealing with maximum uncertainty and you're a sponsor, the ability to take a couple of shots on goal in disrupted or dislocated markets is arguably easier because you're taking a diversified portfolio approach than it is for a corporate to have the conviction to bring to their shareholders a significant transaction in the midst of all of this market uncertainty. So, we see activity not stopping, but clearly, it's slowing and it is not anywhere near normalized levels, but this too shall pass and we're going to get back to a more normal cadence. While that's being sorted out, there is undoubtedly a very significant uptick in interest in continuation vehicles. There is more allocated monies being directed to these strategies, and we think it continues to be a significant growth engine, and we are well positioned to be a leader and to continue to participate in that. And that should over time be reflected in our financials as well.
James Yaro: Excellent. Maybe just a follow up on the dynamics you spoke about. Maybe you could also just give us your outlook for LPs secondaries, given the same dynamics and then separately. I'd imagine a weaker private equity deployment backdrop could weigh on the fundraising business, which I think you alluded to a little bit. Maybe you could just help us think through the backdrop for primary fundraising, and the extent to which the longer-term opportunity set in the business could change if IRRs and DPI are lower on current vintages.
Paul Taubman : There's a lot in that question. Let me try and be succinct. Inquiries for LPs related to monetizing their states in selected PE firms that continues to trend upward and that's a way for CIOs to, in one fell swoop, reweight their portfolios to more dynamically create weightings to potentially no longer need to monitor investments in GPs where they're not going to have continuing relationships because they made the decision not to invest in future funds. All of that is correct. We're seeing it and we're benefiting from it, and we have a leading practice in the space, and it works to our advantage. At the same time, if you have more pressure from LPs to unwind investments. If you have less capital return because of stalled m and a markets slower IPO monetization opportunity, it's not much of a leap of faith to realize that that does not make primary fundraising easier. It only makes it more difficult. At the same time, like anything else, when the going gets tougher, you are much more discerning about who you select to be your advisor. In an M&A world where anything and everything gets sold, clients may not care if they're going to a good, not great M&A firm in a difficult environment. They want great M&A bankers. That works to our advantage. In an environment where you're seeing it more difficult for primary fundraisings to be successfully done, instead of doing it all in-house, you're starting to think about a placement agent, instead of just any placement agent, you want PJT Park Hill. So, all of that works to our advantage, but what we're seeing is greater opportunities for us, the ability to be highly selective, the ability to use that as an opportunity to expand the relationship more holistically with the private equity firm, but at the same time, the time to raise a fund and the expected fundraise size is all being weighed down by these difficult environments.
James Yaro: That's very clear. Thanks Paul.
Paul Taubman: Thank you.
Operator: Thank you. We'll go next now to Jim Mitchell of Seaport Global Securities.
Jim Mitchell: Hey, good morning. Paul, you kind of highlighted, you highlighted the high yield market showing some signs of stress, right. Does that at also, at least temporarily hurt your ability to execute liability management assignments? And I guess if that persists, do we start to see some of those assignments get pushed into towards Chapter 11? Just curious how you're seeing that dynamic.
Paul Taubman: Look, I think the reality is we're in a risk-off environment. We're not in a risk on environment. When you're in a risk-off environment, that tends to be where borrowers and lenders alike recognize that there needs to be a restructuring in the transaction. I think there's always been a view that liability management is a more efficient way to do it than Chapter 11. Not exclusively, but principally. It's a way with fewer friction costs and for parties to come together more quickly. And with prices starting to reflect more distress, there's probably more opportunity to capitalize on some of that. So, I actually think you're going to see more of both. You're going to see more liability management, and you are going to see more bankruptcies, I think. Both are going to be present as we move into this next economic phase. That's my own personal belief. I think at a minimum you'll see some modest upticks, and we'll end up somehow reverting a more pronounced economic recession. But if we don't, you're going to see a major league uptick in, in both in-court and out-of-court restructurings.
Jim Mitchell: Can private capital, private credit, pick up some of the slack if the public markets are closed? Or is it just not there enough? Just curious if that's a source of funding for the liability management space.
Paul Taubman: Well, it's certainly a source, you know, a lot of this too, for liability management is taking existing claims. We already are dealing with existing lenders and just simply restructuring it with different collateral packages, different tranches, different securities, and converting some of it to equity. So, there's all of that opportunity. It's always easiest to restructure companies with those that already have skin in the game and are economic stakeholders. And I think those motivations are only going to increase. To your point about private credit, whether it's private credit or it is in the syndicated market, but the asset is owned by private equity firms the willingness to be more creative and to think across the credit spectrum as to how to restructure balance sheets so that companies have the runway to navigate these difficult environments, that's greater. So, we're always going to see more of a bias towards liability management when the owners of the debt and the owners of the assets come from, highly sophisticated organizations that are deeply steeped in credit. That's just the reality.
Jim Mitchell: All right. Very helpful. And this maybe a longer-term question, just the tariff uncertainty, it seems pretty clear it's going to drive a lot of companies to move and or diversify their supply chain. So, in the longer run do you see that as an incremental catalyst for deal activity or is it just more of a pain point rather than an opportunity set longer term? Just curious how you think about it.
Paul Taubman : Right now, it's hard for companies to make profound decisions to reorient supply chains if what exists today could be rescinded tomorrow. So, I think we're in this difficult environment, sure. Where you don't know whether to start to pivot to plan B because he may be back to plan A in a short period of time. So, I think what this is really doing is it's just freezing activity as a general matter. To your point, though, there are always second-order, third-order consequences of all of this. I think what we're seeing in Europe, as an example, is a real appreciation that they need to close the innovation gap. They need to be more into advanced tech. They need to be less reliant on the U.S. and China. They need to figure out how to have increased security and reduced dependencies on the United States. And that is going to drive additional economic activity that's going to drive additional M&A activity. And you're going to see more consolidation and governments in Europe and the EU writ large, much more willing to embrace consolidation than they were before. So, like any bit of news flow, it's never all one way. There's always multi-directional implications. And I think while it makes the current environment more difficult when the clouds lift and there's greater clarity, there's no doubt that's going to be a meaningful impetus for additional activity. So that's consistent with this view, that less activity now, more activity in the future and things are getting pushed.
Operator: We'll go next now to Brendan O'Brien of Wolfe Research.
Brendan O'Brien : Thank you, for taking my questions. This a lot of noise in the -- I was just wondering if you could, what you're seeing on the regulatory front is obviously the, and that would accommodate. So, I just want to get a sense as to whether there's using scrutiny relative to what we saw.
Paul Taubman : I heard every other word, because of a poor connection, but I think the gist of it is, can we try and make sense of what the current administration's regulatory posture is on M&A deals and what are the implications for M&A? Do I get that mostly right?
Brendan O'Brien : Yes, sorry about the for connection.
Paul Taubman : Okay. So, if that's the question, let me give it a go. Look, it's a mixed bag, because with new administrations, you typically want early declarations on large deals as a weather van on how much the weather has changed from before. And part of the challenge here is you're not seeing enough deal flow, and you're not seeing enough regulatory review to really determine what is the direction of travel in this administration, contrasted with the last administration. And there's also no doubt, while a different approach there are within this administration some reasonably consistent views about competition in certain areas that align more closely than some had thought with the prior administration. So, my own view is it's better. I think there's, more confidence in moving forward in most industries, but not all. I think when it comes to media technology areas that affect, end prices of what consumers pay and groceries and the like, that, there's not a relaxed view on consolidation, but in other parts of the economy, I think there's no doubt that this is a more favorable climate, but maybe not as favorable as some had thought. And for a lot of companies around all of this swirling with a lot of rhetoric, what they're looking for are a couple of large defining transactions to come before them so that they have a much clearer sense as the roadmap. So, I think that's also in a nuanced way, curtailing some large M&A for the moment, but not necessarily for very long.
Brendan O'Brien : That's helpful, and hopefully you can hear me a bit better now. But, for a follow up, the last quarter, I believe you alluded to maybe a slight slowdown in recruiting this year after an aggressive couple of years of recruiting previously. But just given the softer levels of activity year to date, I just wanted to get a sense as to whether you're seeing any improvement in the recruiting environment and whether this might cause you to re-accelerate hiring in a way that you weren't expecting at the start of the year.
Paul Taubman: Yeah, that's a great question. Look, it is not, it is never about us reaccelerating hiring. We're always available to hire the best, most talented people. The question is just simply given the environment we're operating in, what's the ability to get individuals to take the time and to take the breakage costs to come off the field to come join? So, think about it this way. The demand on our part is unwavering. The opportunity set is what fluctuates that commentary was predicated on this being a much more robust deal environment where those friction costs would've been greater. As those friction costs have come down, we're starting to see more interest in moving now and more of a realization that now is a perfectly good time to change and come to this platform. And as a result, I do expect to see our yields increase, but it's not because we have more desire or more conviction today, it's just that the world is coming closer our way than perhaps we had thought.
Brendan O'Brien : That's great color, and thanks for taking my questions and apology for the connection issues.
Paul Taubman: Perfect. Well, hopefully I did a reasonable job in interpreting and answering your question.
Brendan O'Brien : Yeah. No, you hit the nail on the head, Paul.
Paul Taubman: Okay, good. Well with that, oh, I'm sorry.
Operator: Thank you. We'll go next Benjamin Ruben of UBS.
Benjamin Ruben: Hi. Thanks for taking my questions. I thought the commentary that your full year outlook has not changed, was actually pretty encouraging. And in 2024, obviously, you guys had record revenue across your three businesses. So, I'm just curious, how are you thinking about the different growth trajectories across Park Hill restructuring and strategic advisory in light of the uncertainty? And then also, you mentioned in your prepared remarks that your backlog remains at record levels. So, just curious, has there been any shift in either the quality or expected timing of your M&A pipeline thus far in April? Thank you.
Paul Taubman : Sure. Let me try. And since you started out asking about the totality of the firm, let me start there and then we'll come back. I think we're coming off record results in all three of our principal businesses. What I have said repeatedly is that restructuring and liability management, we don't see any meaningful slowdown, and we expect levels to be consistent with last year, certainly in the same range. I do think that with every passing day, maybe that vector goes from flattish to slightly up, but that's we're going to need to see more of the year playing out. But if you said to me, as the year progresses, how are we thinking about that, it is reasonably consistent with last year's record levels? And as I've said, none of that reflects that call option, if you will, that if these stresses and strains persist for an extended period of time, we could see a meaningful uplift. So, we're kind of flattish with maybe watch and wait that maybe if the world becomes stuck for longer and if the markets continue to be challenged, there could be an uptick from here. I think what we've also said about our capital raising fundraising businesses is that the primary business continues to be quite difficult and challenging from a macro perspective. There's ever more interest in LP monetization’s and GP solutions to create liquidity. And you sort of got that ying and the yang there. So those two businesses should approach last year's levels. And as the year progresses, how it affects individual sub-sectors and a more precise view. We will need more of the year to play out. But those two forecasts are substantially intact from where they were at the beginning of the year, even though the composition may change. And in strategic advisory, we have the benefit of a record announced pending close pipeline. We have the benefit of a record level of mandates. We're stronger every day, every day. We are a stronger and more powerful franchise. And all of that suggests that we should have very strong results and strong increases in strategic advisory year-on-year. And exactly the degree, how much will be a function of how the environment plays out over the next eight months and what our perspectives are for ‘26 will be defined by how the second half of ‘25 plays out. But in almost any scenario, we still think we're positioned for strong increases in strategic advisory for the year. And as a result, that is an outlook, which is remarkably consistent to what we talked about three months ago.
Benjamin Ruben: Great. Thanks for the color, Paul. I wanted to shift gears onto the comp ratio. You mentioned heading into this year that you were set up well to begin delivering comp leverage in ‘25, and you were able to do such in the first quarter, bring it down roughly 150 basis points. So, I'm just curious, what would you need to see in terms of the deal backdrop through the course of this year, such that you would be more comfortable bringing it down further if possible? And also, how much incremental recruiting costs does the 67.5% assume as far as additional hiring is concerned? Thank you.
Paul Taubman: Well, the 67.5%, as Helen said, is our best estimate for the full year. So, by definition, it reflects our estimate of our business performance for the full year. And it reflects our estimate of the recruiting that will continue to occur throughout the year. So, it's only deviations from that if there's a meaningful deviation in our actual revenue performance or our actual recruiting, or if we come to later in the year and we have visibility on ‘26, that causes us to reflect that as well into our ‘25 accrual rates. So, I think it's, those three legs of the stool will define our ability, but as Helen said, this is our best estimate of full year comp and until there are factors that materially change that, that's the number.
Helen Meates: And then Ben, just to remind you, we do refresh that view every quarter. So, when it comes to the second quarter earnings, we will take a refresh view and update on what's changed.
Benjamin Ruben: Okay, great. And then just quick follow up, the 67.5% reflects your best estimate as of the end of the quarter, 3/31 or as of April?
Paul Taubman: As of today.
Benjamin Ruben: As of today.
Paul Taubman: It was officially done when we closed the books for the quarter, but there's nothing I've seen. I'm going to go out on a limb here and say there's nothing we've seen in the last few weeks that caused us to think that that's not the best estimate for the year.
Benjamin Ruben: All right. Great. Thanks guys, for answering my questions.
Operator: Thank you. We'll take a follow up question now from James Yaro, Goldman Sachs.
James Yaro: Thanks for taking a follow up. Just I think on your buybacks, you repurchase a healthy quantity of stock in the quarter, and I think that that understates underscores the unchanged guidance you provided. Maybe you could just help us think through the cadence for buybacks from here and perhaps the timeframe over which you believe you could fully offset the share account dilution from the past few years.
Helen Meates: James. As in the past, we've typically been more heavily weighted to buybacks at the early part of the year. And we try and as best we can match the issuance that happens in the first quarter. So that has been a consistent pattern. But we've also been buying back shares throughout the year. And so, we would anticipate that we will continue to be opportunistic, to buy back shares going forward. We've neutralized all the issuance this year, but as you know, there are some other issuances in past years that we haven't completely got back. So, while the timing won't be perfect, we do intend to go and get back those shares as well.
James Yaro: Okay. Appreciate the color. Thank you.
Paul Taubman: Thank you, James.
Operator: Thank you. That will conclude our question-and-answer period. I would now like to turn, call back over to Mr. Taubman for any closing comments.
Paul Taubman: Well, thank you very much. We as always, appreciate your interest in your company. We appreciate your participation in these earnings updates, and we look forward to speaking to you when we report second quarter results this summer. Thank you very much.